Operator: Ladies and gentlemen, thank you for standing by. I'm Natalie, your Chorus Call operator. Welcome, and thank you for joining the Deutsche Bank Q1 2023 Analyst Conference Call. Throughout today's recorded presentation, all participants will be in a listen-only mode. [Operator Instructions]. I would now like to turn the conference over to for closing -- sorry, Deputy Head of Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you for joining us for our first quarter 2023 results call. As usual, our Chief Executive Officer, Christian Sewing, will speak first; followed by our Chief Financial Officer, James von Moltke. The presentation, as always, is available to download in the Investor Relations section of our website, db.com. Before we get started, let me just remind you that the presentation contains forward-looking statements, which may not develop as we currently expect. We, therefore, ask you to take notice of the precautionary warning at the end of our materials.  With that, let me hand over to Christian.
Christian Sewing: Thank you, , and welcome from me, too. It's a pleasure to discuss our first quarter 2023 results with you today, and we are pleased with the progress we continue to make towards our 2025 goals. The first quarter was marked by turbulent conditions in the banking sector, particularly in March in addition to the macroeconomic challenges. However, our transformation has provided us with strong foundations, which enabled us to navigate these challenges successfully.  We delivered on four critical --. First, profitability. Pretax profits increased by 12% to EUR 1.9 billion and post-tax profit by 8% to EUR 1.3 billion which on both counts, represents our strongest quarter since 2013. Our cost-to-income ratio was 71% this quarter, 2 percentage points better than the prior year, driven by positive operating leverage. We also generated an 8.3% post-tax return on tangible equity in this period.  As you know, annual bank levies are recognized in the first quarter. Spreading these bank levies equally across the four quarters of the year, our first quarter cost income ratio would be 67% with a post-tax return on tangible equity of 10%, putting us well on track to our 2025 targets.  Second, we proved the strength of our franchise. Our business model is focused on four client-centric businesses, which complement each other and provide a well diversified earnings mix as this quarter shows. We delivered revenues of EUR 7.7 billion, up 5% over the prior year quarter.  Third, we again proved our resilience. Our common equity Tier 1 ratio was 30.6%, up from 13.4% in the previous quarter and 12.8% in the first quarter of last year. Our liquidity reserves were EUR 241 billion, and our liquidity coverage ratio rose to 143%.  Finally, sustainability is an important part of our strategy. As you heard at our sustainability deep dive in March, we have updated our business strategies and policies, expanded on our commitments in several ways to fight climate change, namely our thermal coal policy and our ambition is to encourage our corporate clients to commit to net zero. This quarter, we made further progress towards our target of EUR 500 billion of sustainable financing and investments, excluding DWS by end 2025. Our cumulative volume since January 2020 has grown to EUR 238 billion.  Let me now turn to Slide 2 to discuss the strong performance across our divisions this quarter. We saw good momentum across all business and delivered on the strategic steps, which support our 2025 targets and strengthen our global house bank model.  The Corporate Bank showed financial strength with record revenues and good client activity across our main businesses. I'm pleased that we are winning mandates with top clients to support working capital and their global value chain.  In the Investment Bank, we added talent to support growth, and we are expanding our core franchise. We increased our global market share by more than 40 basis points compared to the previous quarters in Origination & Advisory and achieved year-on-year revenue growth in rates for the fifth consecutive quarter. This reflects our ongoing investments, especially in capital-light business areas.  The Private Bank produced its best ever operating revenues, grew assets under management and captured net inflows. We also successfully completed the next wave of the Postbank IT migration at the beginning of April, transferring over 6.5 million contracts from 5 million Postbank clients. This will unlock the EUR 300 million of cost efficiencies as we previously communicated.  Asset Management saw inflows of EUR 6 billion and EUR 9 billion, excluding cash, despite turbulent markets. Stefan Hoops is progressing with the strategy by investing into transformation to create a stand-alone platform while expanding the product offering. launched the largest ETF of all time in the U.S. of approximately USD 2 billion. This is also the single largest climate investing ETF launch.  Turning now to the big provision profit on Slide 3. Preprovision profit for the group was EUR 2.2 billion in the first quarter, up 14% compared to the prior year period. We again achieved positive operating leverage as we grew our revenues and controlled expenses. This quarter underlines how complementary our businesses are and how our strategic transformation has helped us to rebalance our income strength.  I'm particularly pleased with the performance at the Corporate Bank and Private Bank, which benefited from the normalized rate environment. The contribution from the Corporate Bank and the Private Bank to preprovision profit increased to almost 60% from 33% compared with last year. The Investment Bank also produced a solid underlying contribution against an exceptionally strong prior year quarter.  The rebalancing towards our stable revenue businesses is especially visible when looking at their contribution to the total group's preprovision profit on a last 12 months basis. The Corporate Bank and Private Bank alone have contributed 70% over this period. You will recall that our corporate and other results were negatively impacted by valuation timing in the prior year quarter. We anticipated that this would reverse over time, and we are benefiting from this effect this quarter.  The momentum and balance we see across our four businesses gives us confidence we have the right business model and a strong platform to further improve returns.  In addition to our growth focus, we maintained our discipline on cost as we continue to invest in technology and controls and face inflationary pressures. In February, we said that we were working on additional efficiency measures, which we are now implementing and which are shown on Slide 4. The changes we announced to the Management Board yesterday should support this agenda. The creation of a group Chief Operating Officer will help us to deliver our strategic transformation agenda and drive inefficiencies out of the bank.  We also focus on rightsizing our nonclient-facing functions. During the second quarter, we will begin to reduce our senior nonclient-facing workforce by 5% and we'll limit new hiring without compromising our controls.  We continue to align our German Private Bank to the current trends and market environment, including actions to streamline our mortgage platform. In addition, we are working on a series of productivity measures including sophisticated capacity planning in several areas, including anti-financial crime. Our target is to increase returns over time, and we continue to look for more opportunities to deliver on this. I will speak about this later.  Let me now turn to our balance sheet strength and resilient funding profile on Slide 5. Once again, we benefited from disciplined risk management in our strong and stable balance sheet. Our loan book is well diversified across businesses and regions. Around 70% of the book is secured or hedged and almost 80% of our loan portfolio is in stable and mostly lower-risk businesses in the Private Bank and Corporate Bank. Nearly half of our book is based in Germany, and 40% is equally distributed across EMEA and North America with the remainder in APAC.  Our deposit base funds about 60% of the net balance sheet and our loan-to-deposit ratio was 82% at quarter end. Over 80% of our deposits are from most stable client segments such as retail, corporate small- and medium-sized enterprises or severance where we have long-standing and deep-rooted client relationships. 77% of our German retail deposits are insured by the statutory protection scheme. In the Corporate Bank, close to 3/4 of all deposits are sticky operational and term deposits supporting our clients' daily needs. James will say more on deposits later.  Our CET1 ratio strengthened to 13.6%, 250 basis points above the MDA buffer and our highest level for 2 years. Our leverage ratio was 4.6%.  As I said, our liquidity metrics remained sound. The LCR was 143%, above our target of around 130% with a buffer of EUR 63 billion above regulatory required levels. The net stable funding ratio was 120% at the high end of the group's target range of 115% to 120% and EUR 100 billion above required levels.  To summarize, we have solid foundations to navigate through the recent turbulent environment. And importantly, I view the European banking sector as stable, thanks in part to the regulatory efforts of recent years.  Moving to Slide 6. The current environment underlines the importance of our global house bank model, which positions us well to serve clients in volatile markets. When we set out our strategy in March last year, we outlined the key themes which underpin these goals and ambitions. And these themes have become even more important in light of the geopolitical and macroeconomic upheavals since then.  Our first quarter results demonstrate the progress we are making on the path towards our 2025 goals, benefiting from a strategy and business model, which are well aligned to market trends. We will leverage the more favorable interest rate environment, deploy our risk management expertise to support clients and -- capital to high-return growth opportunities.  With sustainability being so important, we will deepen our dialogue with and support for clients, expand our product range and broaden our agenda for our own operations. We will also continue to benefit from the investments we are making in technology together with our strategic partners. The investments should accelerate our transition to a digital bank and the benefits should be seen our efficiency and controls. These technology investments are also designed to create value for our clients.  We believe we have the right strategy and the right focus on clients, which allow us to accelerate execution of our strategy, enhance our franchise and drive returns. We see these opportunities on three dimensions, which we detail on Slide 7. We have committed to self-fund our investments and increase operating leverage through efficiencies and we now see additional scope to do that. We already indicated that we aim to deliver incremental operational efficiencies greater than the EUR 2 billion identified at the 2022 Investor Deep Dive.  As discussed, we are in the process of identifying and executing on a further EUR 500 million of benefits, which we will work to extract. The incremental benefits will come from a strategic review of our entire workforce, further optimizing the distribution networks in the Private Bank. We also expect to see benefits in operations and process automation, and we are excited about the opportunities that should emerge from artificial intelligence and machine learning.  Second, we are focusing on capital efficiency. Deploying capital to increase shareholder value has always been our priority, and we see opportunities to reallocate capital. We aim to free up EUR 15 billion to EUR 20 billion of risk-weighted assets from reduction in certain sub hurdle lending and mortgage portfolios, greater utilization of securitization and hedging optimization. These actions are expected to have a minimal impact on revenues but will enable us to increase returns and reallocate resources to more capital-accretive businesses.  We believe that the combination of cost and capital efficiency, together with additional opportunities across markets should position us to outperform our existing growth objectives. To support this, we continue to invest into our platforms and to take opportunities created by current market conditions to attract talent to strengthen advisory capabilities in various business and regions including Asia. We expect these actions to accelerate the execution of our strategy and more importantly, increase returns to shareholders over time.  Before I hand over to James, let me summarize our progress on Slide 8. Our performance in the first quarter demonstrates the strength of Deutsche Bank's franchise, earnings power and balance sheet. Our transformation has given us a strong platform for growth with a diverse business model, providing well-balanced earnings. This provides a strong step-up to accelerate our global house bank ambition through additional actions on the three dimensions we just discussed.  We remain fully committed to our capital distribution plan. With the successful first quarter behind us and strong capital, we have now initiated the dialogue with the supervisors about share buybacks, which are expected to take place in the second half of this year. This is in line with the promise we made last quarter that we initiate the step once we have greater clarity on a number of issues, including the macro environment.  Everything we have seen this quarter supports our view that we are on the right path. The group is well positioned to capitalize on current trends to drive returns above the cost of equity.  With that, let me hand over to James.
James von Moltke: Thank you, Christian. Let me start with a few key performance indicators in the first quarter on Slide 10 and put them in the context of our 2025 targets. We have strong revenue momentum. A balanced business mix enables us to benefit from higher interest rates despite challenging financial markets, delivering revenue growth above our 2025 targeted compound annual growth rate on a last 12-month basis. Our post-tax return on tangible equity was 8.3% in the first quarter or 10% prorating bank levies through the year, already in line with our 2025 target. We've made steady progress on our cost income ratio, which was 71% in the quarter, a 4 percentage point improvement on full year 2022.  If the bank levies were prorated across the year, the cost/income ratio would be 67%. The first quarter performance shows clear progress toward our 2025 target of less than 62.5%. And we demonstrated the strength of our capital and balance sheet and the quality of our loan book in challenging conditions. Our capital ratio was 13.6% in the first quarter in line with our 2025 target of around 13%.  With that, let me turn to the first quarter highlights on Slide 11. Group revenues were EUR 7.7 billion, up 5% on the first quarter of 2022 and with a better balance across our businesses. Noninterest expenses were EUR 5.5 billion and adjusted costs of EUR 5.4 billion were essentially flat year-on-year. We booked bank levies of EUR 473 million this quarter, down 35% year-on-year as a result of a reduction in the sector-wide single resolution fund assessment as well as our improved relative sector contribution and an increased use of the revocable commitments. Our provision for credit losses was EUR 372 million or 30 basis points of average loans. Overall, credit losses remained well contained despite a small number of idiosyncratic events.  We generated a profit before tax of EUR 1.9 billion, up 12% and net profit of EUR 1.3 billion, up 8% compared to the prior year quarter. Our cost-income ratio came in at 71%, down 2 percentage points versus the prior year period. Diluted earnings per share was EUR 0.61 in the first quarter with an effective tax rate of 29%. Tangible book value per share was EUR 27.28, up 2% on the fourth quarter of 2022 and up 8% year-on-year.  Now let me turn to some of the drivers of these results, starting with our NIM development on Slide 12. We have continued to benefit from the interest rate environment in the first quarter, as demonstrated by the rise in net interest margin in the Corporate Bank and Private Bank. Group NIM, however, declined due to the accounting treatment of some of our central hedges and balance sheet management activities. This quarter, the accounting effect resulted in a sequential impact on group NIM of around negative 20 basis points. This effect is held in C&O, where it is fully offset by an increase in noninterest revenue, and there is no economic loss to the firm or overall impact on group P&L.  Realized deposit betas remained favorable when compared to our models, but we expect this to partially normalize in the coming quarters as the pace of interest rate rises slow. Average interest-earning assets declined modestly, driven mainly by our TLTRO payments.  With that, let's turn to costs on Slide 13. Adjusted costs, excluding bank levies of EUR 4.9 billion were flat sequentially, but increased by 5% year-on-year or EUR 240 million. This reflected cumulative investments over the past 12 months in technology, controls and people, together with higher business activity and inflationary pressures. The monthly average run rate of around EUR 1.63 billion is in line with our prior guidance, and we expect to operate at the run rate of between EUR 1.6 billion and EUR 1.65 billion per month for the rest of the year.  Looking at the individual components. Compensation and benefits costs were essentially flat as increased fixed remuneration was offset by lower variable remuneration. Ongoing workforce optimization limited the impact of higher headcount. IT costs were up EUR 66 million or 8% year-on-year, reflecting continued investments in technology and innovation. Professional services increased by EUR 25 million, driven by business consulting and legal fees. And the increase of around EUR 100 million in other costs mainly reflects increasing expenses for banking services and outsourced operations. We also saw a normalization of travel and marketing expenses.  Let's now turn to provision for credit losses on Slide 14. Provision for credit losses for the first quarter was 30 basis points of average loans or EUR 372 million. Stage 3 provisions increased to EUR 397 million compared to EUR 114 million in the prior year quarter. The majority of this increase was driven by the Private Bank and included a small number of idiosyncratic events in the International Private Bank. This was partly offset by a release of EUR 26 million in Stages 1 and 2 provisions, partially driven by a slight improvement in the macroeconomic outlook since the fourth quarter of 2022 compared to a charge of EUR 178 million in the prior year quarter. We did not see a wider deterioration in the portfolio outside of this small number of specific events, and overall credit quality remains high. For the full year 2023, we reaffirm our previous guidance range of 25 to 30 basis points of average loans.  Let me also cover our commercial real estate portfolio on Slide 15. Our EUR 33 billion commercial real estate focused portfolio represents 7% of our loan book. And as you know, it consists of nonrecourse lending within the core CRE business units in the Investment Bank and the Corporate Bank. As a reminder, we have provided disclosure on this focused portfolio since the COVID crisis.  The portfolio is well diversified across regions and property types. Despite the headwinds facing the sector, we are comfortable with our exposure for several reasons. First, our loan originations are focused on larger institutional quality assets in more liquid primary markets and with strong institutional sponsorship.  Second, the moderate weighted average LTVs, or loan-to-value, of 62% in the Investment Bank and 53% in the Corporate Bank provide material cushion against the expected decline of collateral values. Our sponsors typically have significant skin in the game in the form of cash equity invested in their properties and have invested more equity where needed to ensure the ongoing performance of their assets. However, we recognize the market is under pressure, especially in the U.S. where lending markets have tightened with further uncertainty caused by recent turmoil in the regional banking sector. The U.S. office sector is also facing greater pressure as the office vacancy rate is approaching 20% compared to approximately 7% in Europe.  Our exposure in the U.S. office sector is manageable at EUR 4.5 billion, less than 1% of our total book. Our office portfolio is high quality with around 80% in Class A properties and we have institutional sponsorship in major markets. The loans are primarily backed by multi-tenant properties in large urban markets and again, with high-quality sponsors. The portfolio has an average LTV of around 64% with a weighted average lease term of 6.7 years, which provides relative stability of cash flows. At the same time, only approximately EUR 600 million of exposure has final maturities over the course of the year, which limits the refinancing risk in a higher rate environment.  In the first quarter, provisions related to U.S. office were EUR 60 million or just 4% of the first quarter Stage 3 provisions, which shows the relative resiliency and quality of this book.  Moving to funding and liquidity on Slide 16. We ended the quarter with a liquidity coverage ratio of 143% equivalent to an excess of EUR 63 billion above our regulatory requirements. Over time, as market conditions improve, we would look to prudently steer our LCR down towards our 130% target.  As Christian outlined, we have a well-diversified deposit base across client segments and regions. Our deposit base of EUR 592 billion declined by 5% sequentially or 4% on an FX-adjusted basis, year-on-year. The decline in part reflected a normalization from the elevated levels seen in the second half of last year and was broadly in line with the market. About 1/3 of the reduction in balances came at the end of the quarter as certain clients reposition parts of their exposures. This constitutes about 1% of our overall deposit portfolio and speaks to the underlying quality of our book.  Deposits in the Corporate Bank declined by 7% sequentially or 6% if adjusted for FX, mostly due to normalizations from elevated levels in the last 2 quarters as well as increased pricing competition. Private Bank deposits declined by 2% in the quarter. Approximately 30% of flows migrated into higher-yielding investment products in the Private Bank, while the remainder reflected the ongoing inflationary pressures and increasing price competition.  Before we move to performance in our businesses, let me turn to capital on Slide 17. Our common equity Tier 1 ratio came in at 13.6%, up by 25 basis points compared to the previous quarter. Net capital build was 30 basis points reflecting our strong organic capital generation from net income, partially offset by higher equity compensation awards. Risk-weighted assets grew modestly, reducing the CET1 ratio by only 6 basis points. Credit risk-weighted assets increased primarily due to seasonal loan growth in the Investment Bank and Corporate Bank. Market risk RWA declined slightly following ECB approved reduction in our qualitative multiplier add-on.  The leverage ratio was 4.6% at quarter end, up 6 basis points on the previous quarter, mainly due to higher retained earnings. And finally, we continue to operate with loss-absorbing capacity well above our requirements. Our MREL surplus as our most binding constraint has increased by EUR 1 billion to EUR 19 billion over the quarter.  Moving to the Corporate Bank on Slide 19. Corporate Bank revenues in the first quarter of EUR 2 billion were 35% higher year-on-year, driven by increased interest rates and continued pricing discipline. This was the highest quarterly revenue performance since the formation of the Corporate Bank, driven by revenue growth across all regions and business units. However, as we highlighted at our fourth quarter results, we expect a normalization of our interest revenues in the second half of the year. Our first quarter results were supported by still very benign pass-through rates, which we believe marks the peak revenue impact of this pricing dynamic.  Momentum was particularly strong in cash management with corporate, institutional and business banking clients as well as in Corporate Trust. Loan volume in the Corporate Bank was EUR 121 billion, down by EUR 4 billion compared to the prior year quarter and flat sequentially. Deposits were EUR 269 billion, essentially flat compared to the prior year quarter, but down 7% from elevated prior quarter levels, as I have just outlined.  Credit loss provisions remained contained despite a more challenging macroeconomic environment and were primarily driven by one larger Stage 3 event, which was offset in revenues by insurance recoveries. Credit loss provisions remained well below the prior year quarter, which was impacted by the start of the war in Ukraine.  Noninterest expenses were EUR 1.1 billion, an increase of 2% year-on-year, driven by higher internal service cost allocations, partly offset by a lower bank levy contribution. Profit before tax was EUR 822 million in the quarter, more than triple the prior year quarter. The cost income ratio improved to 55% and post-tax return on tangible equity was 18.3% despite the recognition of bank levies.  I'll now turn to the Investment Bank on Slide 20. Revenues for the first quarter were 19% lower year-on-year. Revenues in fixed sales and trading decreased by 17% in the first quarter compared to a prior year, which included approximately EUR 500 million of episodic items. Client flows were robust with institutional activity broadly flat year-on-year and underlying business performance strong despite the extreme market volatility in March.  Rates revenues were higher compared to a very strong prior year quarter, reflecting improvements across the platform and effective risk management. Credit trading, financing and emerging markets revenues were lower, principally reflecting the absence of episodic items in the prior year period, while underlying performance improved. Foreign exchange revenues were significantly lower compared to a strong prior year period, driven by the impact of extreme interest rate volatility and market dislocation during March.  Moving to origination and advisory. Revenues were down 31% in a market which remained challenging. Our performance was in line with the industry fee pool and reflected a market share recovery and a shift in the underlying product mix compared to the fourth quarter of 2022. Debt origination revenues were significantly lower. Volumes remain low in leveraged loans, although the market did start to see a partial recovery in high yield. Investment-grade debt revenues also declined as did the industry fee pool. Equity origination revenues were down in a challenging market with limited issuance. Revenues in advisory were significantly lower, though by less than the industry fee pool decline.  Turning to costs. Both noninterest expenses and adjusted costs were essentially flat versus the prior year as reduced bank levies were largely offset by investments in technology and our control functions. Loan balances increased year-on-year, driven by higher originations primarily in the financing businesses. Quarter-on-quarter balances were essentially flat with lower origination reflecting our selective risk deployment. Provision for credit losses was EUR 41 million, 16 basis points of average loans, a slight increase on the prior year. Profit before tax was EUR 861 million in the quarter.  Turning to the Private Bank on Slide 21. Private Bank revenues were EUR 2.4 billion in the first quarter, up 10% year-on-year and marked the highest quarterly revenues since the beginning of our transformation of the Private Bank, excluding specific revenue items. Revenues in the Private Bank Germany increased by 14% to EUR 1.6 billion. Higher net interest income from deposits more than compensated for a decline in fee income, which reflected changes in contractual and regulatory conditions, market uncertainty and to a lesser extent, lower client activity.  In the International Private Bank, revenues were up 3%. Revenues in Wealth Management and bank for entrepreneurs were up 4% or 7% if adjusted for the impact of the sale of our Financial Advisors business in Italy. Revenues in premium banking declined by 1%.  Noninterest expenses were up 10%, partly due to the nonrecurrence of releases of restructuring provisions, which benefited the prior year quarter. Adjusted costs increased by 5% year-on-year due to higher internal service cost allocations, higher investment spending, including costs related to the Postbank IT migration and inflation impacts, partly offset by lower bank levies and savings from transformation initiatives.  Net inflows were EUR 6 billion in the quarter, driven by growth in investment products in both Germany and the International Private Bank. Provision for credit losses was EUR 267 million, up from EUR 101 million in the prior year quarter. The increase was driven mainly by a small number of single name losses in the International Private Bank. Excluding these items, the development of the portfolio continued to reflect the high quality of the loan book and continued risk discipline.  Profit before tax was EUR 280 million in the quarter, including the full year impact of bank levy charges. Cost-to-income ratio was 78% in the quarter with a post-tax return on tangible equity of 5%.  Let me continue with Asset Management on Slide 22. My usual reminder, the Asset Management segment includes certain items that are not part of the DWS stand-alone financials. As you will have seen in their materials, DWS reported a decline in performance compared to the prior year, reflecting lower market levels. Sequentially, assets under management increased to EUR 841 billion, reflecting EUR 19 billion of market appreciation and net inflows. Inflows excluding cash, were nearly EUR 9 billion primarily in passive and multi-asset. Flows in cash products were very volatile throughout the quarter, ending with net outflows of EUR 3 billion.  Revenues declined by 14% versus the prior year quarter. This was predominantly driven by an 8% decline in management fees to EUR 571 million, which reflected financial market performance during 2022. Performance and transaction fees were also lower year-on-year from performance fee recognition and lower real estate transaction fees. Other revenues declined on lower gains from co-investments and a smaller benefit from fair value of guarantees.  Noninterest expenses and adjusted costs increased by 3% and 1%, respectively. Profit before tax of EUR 115 million in the quarter was down 44% compared to prior year. The cost income ratio for the quarter was 74%. And return on tangible equity was 14%.  Moving to Corporate & Other on Slide 23. A reminder that Corporate & Other now includes the impact of our legacy portfolios previously reported as the Capital Release Unit. Corporate & Other reported a pretax loss of EUR 226 million this quarter, a significant improvement from the pretax loss of EUR 677 million in the first quarter of 2022. The year-on-year improvement was principally driven by valuation and timing differences, which were positive EUR 239 million in this quarter compared to negative EUR 184 million in the prior year quarter.  The pretax loss associated with our legacy portfolios was EUR 130 million, an improvement of EUR 166 million year-on-year, primarily driven by lower expenses. Excluding bank levies, adjusted costs associated with these portfolios approximately halved to EUR 66 million.  Funding and liquidity impacts were negative EUR 106 million in the current quarter versus negative EUR 127 million in the prior year quarter. Expenses associated with shareholder activities not allocated to the business divisions as defined in the OECD transfer pricing guidelines were EUR 124 million in this quarter, essentially flat year-on-year. The reversal of noncontrolling interests in the operating businesses, primarily from DWS was positive EUR 37 million down from EUR 56 million in the prior year quarter. Other impacts reported in the segment aggregated to negative EUR 142 billion.  Risk-weighted assets stood at EUR 43 billion at the end of the first quarter, including EUR 19 billion of operational risk RWA, representing a EUR 3 billion reduction since the fourth quarter of 2022.  Turning to the group outlook for 2023 on Slide 24. We remain focused on delivering positive operating leverage. We expect 2023 revenues around the midpoint of a range between EUR 28 billion and EUR 29 billion. We expect to keep our noninterest expenses broadly flat to 2022. As confirmed earlier, we expect the monthly run rate of adjusted costs, excluding bank levies to be about EUR 1.6 billion to EUR 1.65 billion for the rest of the year.  To deliver on the cost reduction measures, which Christian outlined, we now expect to record restructuring and severance provisions of approximately EUR 500 million in 2023. In line with our previous guidance, provision for credit losses is expected in the range of 25 to 30 basis points of average loans.  Christian mentioned our commitment to capital distributions. Consistent with our path laid out at the Investor Deep Dive last year, we have proposed a cash dividend of EUR 0.30 per share for approval at the AGM in May, and the dialogue with supervisors about share buybacks in the second half of the year has been initiated. We are also committed to maintaining a strong capital position and a solid liquidity and funding base, all of which we demonstrated during turbulent conditions in the first quarter.  With that, let me hand back to , and we look forward to your questions.
Unidentified Company Representative: Thank you. Operator, we would be ready to take the first question, please.
Operator: [Operator Instructions]. Our first question is from the line of Chris Hallam from Goldman Sachs.
Chris Hallam: So my first question relates to capital return. Clearly, profitability and capital formation was better than expected in the first quarter. Previously, you've commented that the timing and size of potential share buybacks here would be dependent on getting clarity on the size of regulatory model headwinds and the macro outlook. And today, you've said that you've initiated dialogue with the ECB. So what updates do you have on those headwinds? How comfortable do you feel on the macro backdrop? And how far are you with the ECB discussions? And what does that all mean for the potential timing and size of share buybacks this year? That's the first question.  And then secondly, perhaps to Christian, coming back to Slide 7. If we look across those three pillars, cost, capital and revenues, could you talk a little bit about what these measures really mean incrementally to the 2025 strategy and targets? What are the key timing points regarding progress in those areas? And are you in a position to upgrade any of those targets at this point?
Christian Sewing: Chris, it's Christian. Thank you very much for your question. And I'm sure James will jump in. I'm going after both questions, and again, James will contribute.  Look, on your first question, I think it was very important for us, for the Management Board here and for James and myself that we wanted to see the first quarter development. And indeed, this development is not only important but gives us all the confidence and all the tailwind we need when it comes to the further trajectory of our results.  And you really look at the composition of our results. That's what makes me so positive and confident that is the stable business development in the Private Bank and in the Corporate Bank. And if you then think about that what James already outlined in the previous calls and what we always refer to that kind of the real tailwind in the interest rates is coming in the Private Bank only in the outer years in '24 and '25. With the momentum we see right now already in the stable business, that was obviously the right starting point now to change gears and to initiate the discussions on the share buybacks with the ECB.  Secondly, to take a step back, I think also in the aftermath, it was right actually not to do this end of January because we said on purpose, we would like to have a better view on the economic development, the volatility in the market, the turbulences we see. And look, we did not know what happened in March, but you could see that also the way we handled that situation. Again, the stability now with a step up of 13.6%, not even talking about the strong liquidity number of 143%, all gives us now the confidence to say this is the right moment to start.  Thirdly, I do believe that the environment, the economic outlook for Europe, particular for Germany, you may have seen the guidance of the German Economic Minister yesterday that -- and we agree to that, we don't see a recession in Germany coming in '23. It's slow growth, a minimal growth but actually far better than that what we thought could happen at the end of 2022 for the year '23. Also there, clearly better visibility when it comes to the economic outlook.  And James will give you more details when it comes to the model changes, but also there, we did a lot of progress and have far better visibility, what it means. And in this regard, we concluded based on this, in our view, really good number -- quarter 1 numbers that it's now time to approach the discussions, initiate the discussions with regard to timing.  In line with that, what I said on February 2, we believe that the share buybacks will happen in the second half of 2023. There, I used the word optimistic. Now I use the word that I'm very confident that this will happen in the second half of '23.  And with regard to the amount, look, I think we need to have the discussions with the ECB. But James and I are both believe in consistency. If you think about the kind of the increase in the dividends, which we proposed for the year '22 versus the previous year, I think for consistent reasons, we should also think about such an increase when it comes to share buybacks.  James, potentially, you step in on the model before I take the second question.
James von Moltke: Sure. Happy to do that. So Chris, remember in the February call, we were talking about the model impacts. There are a number of different items, one big one, which is what we call the wholesale model review but then many other items, some of which are netting. And so there is a range of outcomes. But at this point, with better visibility into the discussions, we'd probably say that range is between 40 and 60 basis points of capital.  If you take the midpoint of that, which is a pretty good place to be for modeling purposes, that 50 basis points actually represents about the capital -- the organic capital generation that consensus would suggest we earn in the balance of the year. Now obviously, we'd like to do better than that. But if you use that, essentially, earnings for the rest of the year would offset the model impact. And that leaves us sort of the gap to 13.2 to fund growth, a buyback and any other events during the year, uncertainties in the first two numbers, which we feel pretty good about. And to give you a sense that, therefore, the range of outcomes that Christian refers to, we think at this point is affordable based on the information we have.
Christian Sewing: To your second question, and Page 7, look, again, first of all, I really would like to say it is nothing else Chris, than the continuous development of our strategy and the confirmation of the strategy and the trajectory which we have taken over the last years. But of course, when you are in the middle of that, you see the client reaction, you see the momentum I was just talking about before also in the stable business. the foundation and the resilience, which we have found in the Investment Bank, and obviously, you always reconsider what else can we do.  And let me start on the business side. So on the right-hand side of the slide. Number one, yes, momentum in the business is so important because it goes back to something which I always try to outline in this call and which I think sometimes gets still underestimated, but that is all about our people. If they see these results, when you think about the momentum, the passion, the spirit in this bank, you can see that, in particular now in the Corporate and the Private Bank, it goes only into one direction, and that's what we want to build on. We see growth rates, which are higher than that what we initially planned.  Now then there are market opportunities. Also, as a result of the events which we have seen in our competitive environment also here in Europe, which obviously we would like to bank on. And you have seen the one or the other announcement over the last weeks that we will start to do some selective hiring. Very important either in the Corporate Bank platform or in capital-light businesses like the advisory piece. You also see that we are actually focusing on additional markets. We have hired a team for Latin America in the O&A and financing business, which is important for us because a lot of German clients, corporate clients are actually there who want to have our help. So market opportunities are there.  And all that gives us actually the opportunity again, with the momentum we see also when I look forward, and obviously, with the tailwind of the interest rates that we think the revenue growth numbers which we put forward are not only achievable, but we have a real chance to outperform that.  Now secondly, obviously, on the cost management side, if you work on those EUR 2 billion, which we always laid out and where we gave details in last year's IDD, and we always reconfirm the numbers, you then go deeper, you see there is more room. And therefore, we also changed the governance in the Management Board. We have a clear allocation of cost management now in the management board, front to back, which will create further opportunities. And I think we also don't only think about long-term or more long-term cost changes, but the reduction in force exercise which we kicked off in March, which will be actually then fully implemented in Q2 is something which shows you that we see now with all that what has happened with the sharpening of our businesses, but also implementation of front-to-end processes that we have more potential than we saw before. And hence, we believe that the additional EUR 500 million is the target and a goal which we should achieve.  And thirdly, capital efficiency. And to be honest, to criticize ourselves, I think we have done a very good capital management. But when it comes to capital efficiency in each and every sub businesses, we can further step up. And what I like about this exercise, which we, in our view, bring approximately EUR 15 billion to EUR 20 billion of risk-weighted assets over the next couple of years in risk-weighted asset reductions while not losing revenues over that is actually a more disciplined capital allocation. And that is on 2 or 3 items.  Number one, yes, we will act on items which we see, for instance, in the German mortgage business. If the countercyclical capital buffer has been increased like it was, we obviously will act and will move capital out of this business and either shift it to higher rewarding businesses or we give it back to the shareholders. Secondly, we have found ways to increase hedging securitizations. And thirdly, discipline is not only on the cost side. It's in particular on the review of each and every individual reward when it comes to lending. And there, we need to step up.  And I think that there are areas in our banks, also in the Corporate Bank, where we can do better when it comes to risk reward, that will be implemented. James will be all over about it. And those three items on top of that, what we have seen in Q1, and I really would like to focus on that again. It's an 8.3% return on equity. But if you , so to say, the SRF, we are at 10%. We know exactly what happens with the SRF payments. It will go down. And we still have something in plan for '24 and '25, but it will go down.  So the 10% RoTE in the first quarter is a really good guidance because the first quarter is not an outlier quarter. If you now think about these three items, obviously, it is our target to outperform that in '25. And this is the confidence we have. And with all that, what we really see in numbers in the first quarter was the whole trajectory, I'm really excited about that way and hence, very positive that we can achieve that outperformance. James, I don't know whether you...
James von Moltke: No, nothing to add. Completely agree.
Operator: Our next question is from the line of Tom Hallett from KBW.
Thomas Hallett: So a few questions for me, please. Firstly, on deposits. We saw EUR 27 billion of outflows. But could you just give us a sense of how that evolved throughout the quarter, particularly in and around that market period? And maybe further out, what are you seeing quarter-to-date? And how do you see those deposit trends developing throughout the year? Secondly, you're sticking to your revenue guidance. I'm just wondering what gives you the confidence that target still holds, given the miss in trading, given what we're seeing quarter-to-date there? So maybe you could just provide a little bit an update by division, quarter-to-date dynamics, that would be helpful.  And one final quick one. I'm interested in your discussions with regulators around the CVS issues and the wider banking crisis. Do you envisage any change coming maybe through things like liquidity coverage ratio, definition changes or some sort of additional levies to ensure a wider scope for deposits? Any sense where you see change would be great.
James von Moltke: Sure. Thanks, Tom. It's James. I'll start. Maybe I'll start where you finished, and we'll come back to that with the liquidity metrics because we manage to the liquidity metrics rather than do absolute levels of deposits or funding, and I think it's important to emphasize we were able to travel through a difficult quarter and especially March, while maintaining and, in fact, improving both ratios -- liquidity coverage ratio and net stable funding ratio. And so it's important to understand what that means.  We ended the quarter in as good or better position to withstand a 30-day or a 1-year stress environment than we were at year-end based on that strong deposit base as well as the secured and unsecured funding position we are in. And we think that's a significant achievement for Deutsche Bank but also for the industry. I'll talk about this when we go to your third question, but I think LCR and these other tools have withstood the test in the month of March.  Turning to deposits. You mentioned the reduction in the deposits over the course of the quarter. The average deposits were down a little less than 2% over the quarter. And as you've seen, the spot level was down 4%, excluding FX. And that, as we look at sort of banks that have reported so far, we think is -- and some market -- sort of industry data through February is reasonably in line with what you've seen on both sides of the Atlantic so far.  Now as we've talked about, there's a lot going on in the deposit books. Normalization in our case, from very high levels of deposits that we finished the year with. There was sort of a run-up in December, which is one of the reasons for the variance between the average and the spot. You've also seen a pickup in competition for liquidity as central banks did drained liquidity from the market and you do see some price-sensitive deposits leaving the bank. We're just disciplined on pricing. And so that represents, if you like, a strategy outcome.  We have seen clients shift deposits to higher-yielding investment alternatives, including but not limited to money market funds. And some of that, as we've pointed out, within our own system. So it didn't leave the bank. It just went from deposits to other products.  The other thing that happens in our deposit base is sort of usual ebbs and flows. So if you're a very large cash management bank for corporates and institutionals, there's a lot of movement throughout the quarter which means that your specific question is a little bit hard to pinpoint. But I would -- and what we've talked about is sort of 2/3 coming in the first, say, 9 or 10 weeks of the quarter and then 1/3 in the last 2 weeks, including the sort of episodic or idiosyncratic noise around our name. We think that 1% or 1.5%, which is what we'd estimate over those last 7 or 8 sort of business days of the quarter actually underscores the resilience of the deposit base and the relative absence of what I'll call hot money at DB.  Where did you see it? It was in the portfolios that are typically the most price sensitive and sensitive, if you like, to sentiment. So in a sense, it's not surprising to see that amount of reduction. And as we come back to your LCR question, I think it proves its value as a tool because the reality, why did the ratio stay constant, we don't apply liquidity value to the -- those funding sources, including deposits that are most likely to flow out in a stress scenario.  So if I put that all together, Tom, we feel pretty good about the experience and the way we were able to manage through that environment. And credit to the teams. The communication, the client outreach and engagement, the work that was done in preparation, we feel quite good about performance through that period.
Christian Sewing: Some to the other question on the revenue guidance, high confidence in the midpoint of EUR 28 billion to EUR 29 billion. And why? Because I'm really drawing a lot of comfort actually from the stable business. If there is even room for improvement, it comes from the Private Bank and the Corporate Bank. And if I give you sort of say, my numbers, which I have in my head, even if you say the first quarter in the Corporate Bank was a stellar quarter where potentially on the deposit better, we may see some reduction. But clearly, the Corporate Bank will be well above EUR 7 billion of revenues for the year.  I mean we started with the EUR 1.9 billion. And again, if I all see the forecast and the momentum we have there, it will be clearly a number well above EUR 7 billion. The Private Bank, in my view, very stable. And again, think about that what we always said before that the real impact of the tailwind is still to come. So if I look at last year, if I look at this year, if I look at the first quarter, kind of a number well above EUR 9 billion is well achievable in the Private Bank.  Asset Management, again, a EUR 2.5 billion number with all that, what I can see well achievable. So I think the stable business will be well in excess of EUR 19 billion. If you then think about the EUR 28.5 billion, it's approximately EUR 9 billion, which we need from the Investment Bank.  Now again, I think James said it in his prepared remarks, very strong business actually in the Investment Bank. The episodic items, which we recorded in the first quarter of 2022, we always knew that this is not repeatable, but the underlying flow in the Investment Bank is strong. I just told you about additional investments, which we did also Latin America and so on. So I think what we need to achieve just in order to come to the EUR 28.5 billion would be something like a EUR 9 billion of revenues in the Investment Bank. We took EUR 2.7 billion in. That would mean, on average, a EUR 2.1 billion quarterly, which we have seen and where I'm highly confident to get there, again, based on the momentum. And hence, you know what, the guidance stands, and I'm confident.
James von Moltke: On LCR, we'll always back test. I think the industry and working with regulators, we'll back test what we call the outflow assumptions or the liquidity risk drivers. We'll incorporate what we learn into our own internal models and discuss with regulators as an industry, whether there are changes to LCR that are necessary.  I'll tell you that the experience of the last several years, the COVID crisis in 2020, the impact of the inception of the war in Ukraine last year, now the banking sector turbulence, all of those things have actually proven out rather than disprove the severity of the liquidity risk drivers. So we feel really good about what the tool tells us.  You mentioned the CDS market. We think CDS is an important risk management tool as well, helping banks and counterparties manage credit risk. That said, it's an illiquid market, relatively speaking, and is prone to movements that may not reflect a realistic assessment of default probability. And so I think it probably does bear some scrutiny as to how that market works and whether there are ways to improve it.  Let's be clear, I think institutionally and speaking personally, we think short selling is a viable activity. It provides information to the marketplace and is not something that we would criticize in and of itself. The question is, is there a possibility for crosstalk between different parts of the capital structure that really doesn't represent information in the marketplace. And hence, it's something that does bear some -- As I say, we went through this period, which was an idiosyncratic focus, I think, well. In a sense, we were tested, and we showed ourselves to be a strong, stable bank without the vulnerabilities that the market was concerned about. And in a sense, that's a good thing that clients and investors and counterparties were able to see that. So I'd probably leave it there, Tom.
Operator: The next question is from the line of Anke Reingen from RBC.
Anke Reingen: The first is on costs. If you can talk a bit about the outlook and guidance. With respect to 2023, Q1 is running in line with the target of flat adjusted and reported. And if we look for the rest of the year, do you see any potential headwinds to your cost target? I mean you mentioned hiring. Is there a risk that we don't end up on a flat adjusted reported cost basis? And in that respect, just confirming the EUR 500 million restructuring costs are incorporated in your flat cost guidance.  And then if we travel from '23 to '25, is that like essentially flat trajectory as well? Or when do the EUR 2.5 billion cost savings come through and other EUR 500 million like an additional saving in your cost path you modeled? Or is it basically offsetting additional headwinds you weren't seeing initially?  And the cost/income ratio target, I realized you've made lots of progress, but still 62.5% looks quite ambitious. What levers do you think you can pull? Or where is the upside potential from where we stand at the moment?  And then second question is on loan losses. Unchanged guidance of 25 to 30 basis points. Q1 is already 30 basis points and your assumption is avoiding a recession in Germany. So how confident are you on your loan loss provision guidance?
James von Moltke: So Anke, thank you for the questions. I'll dive in and Chris, you may want to add. I'll go in reverse order, if I may, Look, as we've talked about, the EUR 372 million this quarter is probably higher than we would have expected, and in particular focus is on the around EUR 120 million that we recognized on the two -- these two individual exposures in the IPB. If you take that out, EUR 250 million in the quarter, is actually a sensible run rate and would certainly deliver on the range and guidance that we've given. We're not seeing indicators at this point of weakness in credit. So as we look at the forward-looking indicators, ratings movements, Stage 2 events and all the metrics we look at, we're just not seeing it yet. We are obviously mindful of the environment that we're in and watching carefully. But to your question about, do the trends support the range, yes, they do. So we're comfortable there.  The question on the path to '25 on cost income ratio, what's the lever? The lever is operating leverage. What we highlighted back in February is that the sort of the cumulative, if you like, the compound rate of operating leverage improvement over the 4 years from '18 was 5% a year. Now we may not achieve that every year, but it doesn't take 5% a year to get us to 62.5% from 67%. And so that's also why we've defined the strategy as we have and why we define acceleration as we've done.  If we can find ways to accelerate revenue growth and at least manage the expense base flat with some of the additional measures that we're taking, at least offsetting additional investments and hopefully bringing a little bit more to the bottom line over that time, we think the math to get to 62.5% is very solid. And as Christian outlined, we'd hope to be able to make that a more easily achievable target, and as I say, potentially create room for reinvestment.  The '23 path, as you say, is one where, as other headwinds, there are always headwinds. We are making investments, whether it's in technology or controls. We're seeing inflation. And we need to work to offset those things. The initiatives we announced today are not that meaningful in terms of '23. So they might help us to the tune of around EUR 50 million in the back half of the year. But they step up over the next couple of years. And so the run rate that we think to the various initiatives that we're talking about should achieve by '25 or if not dribbling a little bit into '26, would be about EUR 250 million. So we think it's a meaningful sort of contribution to the EUR 500 million goal that we have.  We're seeing a number of things. Obviously, in the expense base we've talked about, we're going to continue to fight through now in the second quarter. Work hard to keep the company at that run rate we've talked about. In the second half, we actually start to harvest some benefits of things we've been working on for a while. I think notably, as we complete the integration, while it doesn't immediately happen, we start to harvest the benefits of that investment.  We've talked about the linearity and nonlinearity of certain elements of the EUR 2 billion. So we will continue to work and harvest those. So the short answer is, of course, it's always challenging to manage a company in an environment like this with so many moving parts to a run rate. But we think we've got the tools and the measures in place to do that, and we've got an intense amount of management focus on it. And as Christian says, even more so with Rebecca's expanded responsibilities.
Christian Sewing: Anke, the only point I want to add, James said it all, but potentially a number which helps you is the Q1 loan loss provisions ex these two, in my view, idiosyncratic items in the IPB was actually 21 basis points. And that tells you also something about the robustness and solidity of Deutsche Bank's credit portfolio.  With the statements James just made that also going forward and the behavior of our credit portfolios, we cannot really see a negative development or a negative outlook. Hopefully, this 21 basis points also gives you a little bit of guidance or hopefully, comfort for our overall full year guidance.
Anke Reingen: If I may just come back to the cost path, given some of EUR 2.5 billion is more back-end loaded cost savings. The idea is still to be essentially flat over '23, '24, '25.
James von Moltke: That's right. And look, one thing and I think it was embedded in your question, I apologize. The restructuring and severance is higher than we would have planned for the year. That is true. In a sense, we've had an opportunity arise based on a lower-than-expected single resolution fund assessment. So we think we've been given an opportunity even with that investment to manage to the original guidance we gave you this year.
Operator: The next question is from the line of Stuart Graham from Autonomous Research.
Stuart Graham: I had two, please. First is coming back on the LCR. You set the 130% target sometime ago, and I guess, what was a pre-Twitter world. And I think we've all been shocked at how quickly nonsticky retail and corporate deposits can move nowadays. So given the power of social media, don't you think that 130% needs to be higher nowadays? That's the first question.  And then the second question is U.S. commercial real estate office exposure. Thank you for the extra granularity on Slide 38. That's really been useful. Could I also ask how much of that EUR 4.5 billion book is criticized? And what your loan loss allowances on that book are, please?
James von Moltke: Sure, Stuart. It's early days with respect to LCR and the items that you mentioned. I mean, yes, we've learned a painful lesson about the speed at which information and arguably, in some cases, misinformation travel in a social media world and the relatively frictionless movement of funds that we have. I think the important lesson is confidence in banking institutions is critical. I think that confidence arises from banks getting the basics right. We think we've got the basics right at Deutsche Bank. And those are -- deposit bases and funding, managing risks carefully, ensuring that you're really adding value for clients. You have a sustainable business model.  And all of these elements, does it affect how you think about LCR? I think LCR is misunderstood in the sense that it is very conservative. And because the banks have chosen since it was introduced to manage to buffers that there's room in that ratio. I think it's important to understand, if a bank hits 100% that -- in our case, we have now 43% margin against the 100%. But at 100%, we're still able to extend a 30-day stress and come outstanding. So it's a conservatively constructed ratio.  You have to remember also that things that flow off the balance sheet affect both the numerator and the depositor -- and the denominator. And so you have this dynamic nature of the ratio on the way down. So it's -- there's a number of interesting features about that tool that would suggest it's -- as it is, it's a very sort of powerful stability driver in the industry.  That doesn't mean we won't examine it. We won't examine individual risk drivers, but my hope is that a combination of the basics and the tools we have today are -- put us in a good place.
Stuart Graham: So -- if the Basel committee chose to recalibrate it, you could run with a lower buffer. It wouldn't have to be 130%. It might be 110% -- a more conservatively stated LCR. I know it's a theoretical discussion, but...
James von Moltke: Theoretically, yes. And we're mindful, Stuart, that there is a cost to holding these buffers, right? That our shareholders essentially are paying for that buffer. It needs to be there. Let's be clear. The sustainability of a bank, which is engaged in maturity transformation relies on that buffer being there. But you want to calibrate it to a level that protects safety and soundness in essentially all market conditions, but then isn't so inefficient that it's an unreasonable tax on shareholders. So that balance is an interesting one, and I think we need to continue to examine.  In general, by the way, banks -- we've -- since the crisis, we have this behavior of preserving buffers. So banks manage now not just with buffers, but with a disincentive to see buffers used. And so I think that whole edifice, in a sense, can be discussed and examined.  But -- and I just want to draw a line under it, in a positive way, the stability and the tools and the post-crisis regulation I think, should be understood as a success based on what we've learned over the past 8 weeks rather than the opposite.  Briefly on commercial real estate, we don't actually look at it in U.S. terms around criticized necessarily in our IFRS accounting. But what I can tell you is that EUR 1.6 billion, so a little bit more than 1/3 would be in Stages 1 and -- sorry, Stages 2 and 3. We think there's -- we're not saying we're immune. We think we're well underwritten. We have a stable portfolio. We think project by project, we're in good shape given the market environment. But there, of course, are loans, maybe EUR 600 million of that EUR 1.6 billion that we're looking at carefully and need to work with the sponsors around extension dates and refinancings to make sure it carries through this market environment without more scratches and bruises.
Stuart Graham: And the stock of provisions on that book?
James von Moltke: Stock provisions is, I think, in total, around probably EUR 50 million against the Stage 3, not against that EUR 1.6 billion, but -- to Stage 3.
Operator: Next question is from the line of Nicolas Payen from Kepler Cheuvreux.
Nicolas Payen: I have two. The first one would be on the revenue path going into 2024. You mentioned that we might have seen the peak in terms of interest rates repricing, you have a bit of deposit shift and increasing beta as well as slowing growth in mortgages and loans in general. So what do you think about revenues going into 2024? And the second question, sorry to come back on the idiosyncratic event of March. But as you mentioned, you have a strong liquidity buffer, conservative risk management. And if you were one of the most banks under pressure from a stock price point of view in March, what can you do to change the perception about the riskiness and the stronger fundamental of the ?
James von Moltke: So I don't know if you want to start. Revenue path, look, I'll make a couple of comments. Christian will I'm sure add. Look, we're not at a point where -- I'll start with the Investment Bank because that's where our investors tend to start. I don't think we're at a point of sort of peak revenue potential in the Investment Bank. Because just if you think about where we are, for example, right now in Origination & Advisory, that's still sort of recovering. So we think there's scope to improve there. As Christian mentioned, I think we've got scope to invest in that area and improve our market shares, leave aside the market wallet performance.  Financing is doing quite well, both in volume sort of -- or market opportunity terms and in spreads. And then I think our markets businesses have been strong performers and also risk managers. Of course, in that business, we're going to ride a little bit the volatility and the volumes in the marketplace, but we feel good about the way the business has come together under Ram's leadership. So all of those things would tell us we can at least sustain and perhaps improve on the Investment Bank.  The -- Christian mentioned earlier, Private Bank still has a way to run in terms of the momentum that interest rates deliver, let alone assets under management, loan and deposit growth in the case of loans at loans outside of mortgages. So we feel comfortable there's a good path there. And while some of the -- I think we're probably past peak lag, but we're not past the generalized improvement in the rate environment in Corporate Bank.  Lastly, I think the Asset Management business by executing the plan Stefan Hoops has laid out has a clear path to growth in assets. Obviously, it will ride the market a little bit but is also not anywhere near sort of its peak revenue potential. So all of those things, I think, feed into '24 and then '25, and there is sort of a sustainable momentum built into that.  Your second question was liquidity in March and what can we do? Look, we're acutely aware that -- I don't think we were singled out uniquely, but we were in a group that were potentially perceived as vulnerable to the issues that arose. As I said earlier, it's gratifying that the market can very quickly identify that those vulnerabilities did not exist with us or, frankly, our peers in Europe that might otherwise have also come in to pressure.  I think the answer to your question is the more we execute on our strategy, the more we deliver sustainable profitability but also the more we put historical issues around control failures and other events in the past. I hope that what I would -- some call muscle memory will fade in the market and the sort of the beta nature of Deutsche Bank will fade.  As a management team, I think we're all very committed to achieving that goal. It lies in our hands to some extent around execution. It lies in investors' hands in terms of their support for our securities.
Operator: Next question is from the line of Adam Terelak from Mediobanca.
Adam Terelak: I had one on NII and one on capital. Could you give us a little bit of update on the NII trajectory from here? Clearly, expectation on rates have gone up but also deposit betas seem to be low. So just a bit of color on both sides of the balance sheet there and what that means for this year's guidance. And just to add kind of what your deposit assumptions are from here within that guidance, the full year '23 and beyond?  And then secondly, on capital, Christian, you mentioned the EUR 15 billion to EUR 20 billion of RWA relief. I just want to understand your guys thinking on how to redeploy that kind of EUR 2 billion plus potentially of capital unlocked whether that's going to go back into the balance sheet, what businesses you see growth in or kind of what decisions would come to returning that to shareholders, as you mentioned?  And finally, just a clarification. On 4Q, you were talking about kind of the regulatory inflation to come with offset. Is the market risk benefit you've taken this quarter the offsetting item that we've discussed in previous quarters?
James von Moltke: So Adam, I'm not sure I follow all the questions, but let me start with NII trajectory. What I do is refer you back to Page 26 of the February 2 materials. Now we're not going to update the NII trajectory sort of every quarter. But I would say that the assumptions there on Page 26 are still pretty good assumptions. There are always movements up and down in how NII will perform. But this idea that we would put on at that time, 900, I think it's actually a little bit better than 900 given assumptions have improved relative to our expectations at that time this year is still a really good assumption.  So we did EUR 13.65 billion of net interest income last year. If that grew by EUR 1 billion or more, that would be a good assumption. There might be sort of a plateau or even a small dip in '24. And then as you see, there's another leg up in '25 as the interest rate characteristics in the Private Bank come through. So that -- I think that guidance still holds.  Now one thing just to advise you, if you look at interest income in Q1 and attempt to annualize it, you won't get to that number precisely because as we highlight, there's been a swing in the characteristic of the revenue recognition. Think of it a little bit like trading NIM in the U.S. banks, more of the revenues were characterized as fair value through P&L in Q1 than would be typical, and we can get into the reasons for that. But -- so don't be concerned that there's any difference in the guidance from that sort of anomaly. We're very comfortable with the guidance that we've given. And actually, at the moment, we're seeing, based on the curve and the funding profile, we see a little bit of upside to our earlier guidance.
Christian Sewing: And Adam, on your capital question, look, one thing is clear, if you see market opportunities like I tried to describe it, obviously, some of RWA optimizations, we will certainly reinvest also into the one or the other business. But clearly, we also believe that with the increased profitability, which we expect and with that capital efficiency, which we outlined on Page 7. And by the way, again, this has not been only a top-down but bottom-up analysis, which we even curtailed a bit top-down. So there is real potential. Of course, we will think about how much of these additional savings we can also hand back to our shareholders.  So I think if you ask me today, it will be a combination of reinvestment into those business, which is really then capital rewarding and where we have a very good story for our shareholders and investors, but part of that will be also given back to the shareholders.
James von Moltke: And maybe just to build on that, what Christian said, to give you a bit more specific guidance, we -- if I look at the consensus RWA number for 2025, which is 422, without wanting to get pinned down to specific numbers because, as Christian says, it's quite dynamic. Think of the EUR 15 billion to EUR 20 billion as being a net reduction from that guidance. So we would expect, based on everything we know right now, to be somewhere in the low 400s, 400 to 410. And so that can give you a sense if you're building your model based on organic revenue generation, the Basel III impact that we've talked about of about EUR 30 billion of RWA gives you a little bit of sense of where it can provide, at the very least, additional support for the capital trajectory that we've laid out already.
Adam Terelak: Great. The final point was whether the regulatory tailwinds you had this quarter was the kind of the offsetting item we've discussed against the model?
James von Moltke: No, it's all still -- there was -- the one item that we talked about was a market risk RWA item. That was in the plan but is not part of the net 40 to 60 that I talked about earlier.
Operator: Next question is from the line of Kian Abouhossein from JPMorgan.
Kian Abouhossein: The first one is more a general question. I mean if I look at the turnaround of the bank, and I think Berlin should send you two medals, both to Christian and James, the market is clearly thinking differently. I mean, you're trading at 0.3x tangible book. You're trading at 5x roughly -- year's earnings. So there's a disconnect. And I'm just trying to understand how you're going to bridge that disconnect. And if there's going to be any change in the sense that you're going to overcommunicate maybe in Investor Day or any other measures that you feel are understood in particular, that we should be thinking about and investors should be thinking about?  And the second question is I'm quite interested in some management changes that you have announced. And clearly, you have being the COO and also being responsible for cost besides the transformation. Just wondering if there's any change in your thinking around cost? I mean it feels like there is from the language but just wondering if there's any -- and clearly, the EUR 500 million. But I wonder if there's any change in the way we should think about Deutsche and cost management going forward now relative to last year?
Christian Sewing: Yes. Thank you, Kian. And look, let me try to start and James will jump in. Look, it's always hard to talk yourself about why we are perceived in the market as we are perceived. This is actually a question I would like to always hand back to you guys that you tell us what we can do better in communicating.  Look, I give you three items and one of that is not meant in any defensive way. But I do believe that if you just think 14 months back, where we stood in February 2022 before this awful war broke out, I think, at some point in time, we were a share price around 14 30 or something like that, not that this would be our ultimate goal, as you know. But you could see that actually people started to think about this is going into the right direction.  Now I still believe that the overall uncertainty -- the geopolitical uncertainty is a drag for us and that we are still kind of suffering from that. That is point number one.  Point number two is clearly that we have to show and we also hear it on this call, and I think it's only delivery, but you have two very resilient people here on this call. And we will drive this resilience, and we will show you quarter by quarter, week by week, month by month and day by day that we keep the ship exactly in this direction. But the composition of Deutsche Bank of the revenues completely changed.  We have 66% of revenues from the Corporate Bank, Private Bank and Asset Management. And if you would listen to me for another 2 hours, I can tell you these revenues in these businesses only have one direction. And it will -- this 66% will be kind of the ratio potentially, it even goes into an even more favorable number if you think about balanced versus -- a stable versus less stable business, it even goes into an even more favorable number.  So we have a bank which is now that balance, that stable from a profitability, from a sustainability of revenues that I'm very, very confident that we can show quarter-by-quarter a very sustainable development.  Now to the Investment Bank, to be honest, I think we are -- and again, potentially we need to do a better job, and I'm the first one who tries to learn. But I think the inner stability of the Investment Bank with all the changes we have done over the last 4 years is far stronger than potentially the market thinks about it. James just talked about the financing business, a very stable business. I think it's a financing business in the Investment Bank, which is, in my view, among the top 3 in the world. Also from an underwriting standards, if you think about the value chain from the first line of defense to the second line of defense.  I think it's a business where even others outside people of Deutsche and saying, this is -- honestly, this is top of the -- business. That is a business which is constantly there, continuously there with about EUR 3 billion of revenues. We have reconfigurated the trading business under Ram to one of the leading trading businesses. Again, if you look at Q1 and take out the idiosyncratic items, I'm just mentioning the name, which we talked about in '21 and '22, a lot, which obviously is not something which comes back every quarter, then the underlying business in the Investment Bank in 2022 in the first quarter -- 2023 in the first quarter was actually stronger than in the first quarter of 2022, despite it was a very strong quarter.  We will see now a comeback in the O&A business in the Investment Bank. We do some selective investments there because we see the market opportunities and we will be awake for these market opportunities. So that I think you have three very stable business with the interest rates still to come in one of our largest business, which is the Private Bank, with revenues above EUR 9 billion, clearly above EUR 9 billion. So that I think from a pure revenue point of view, I think this bank has completely turned around, and we are playing there where the clients want us to play and where we see the momentum.  Secondly, on the cost side, yes, we are now in the second phase, and I'm grateful for your question, Kian. We're in the second phase of real cost takeout. And that is a cost takeout, which now goes in particular, front to back, that we see the revised processes where we have invested a lot in the front offices, which now need to go into the infrastructure because we need one process from the originating to the infrastructure. And for that, we decided that all COOs in the infrastructure functions are now sub summarized under Rebecca so that we can do the changes in one process from the front office into the various infrastructure functions.  Secondly, when you have invested so much into controls and we are keep doing this, at some point in time, obviously, automation and machine learning, artificial intelligence, but in particular, automation will also lead over time to reduce cost. Unity will pay off as we said.  So what you now see in the second phase of taking cost out is not like in the first phase that we exited business, and we took those costs out but it's actually the smart takeout of cost, plus a constant revenue also of our workforce where we need to do something. So the reduction in force action is something which we have done now. And I'm sure we will do similar things in '24, '25 again. That is a constant review of our organization that's all now under Rebecca. And I think with one person driving that, we will even have more force on it.  So I think it's a normal development in transforming an organization but with the robustness and resilience of the revenues. And that discipline on the cost management, I do believe that we will show now quarter-by-quarter, year-by-year that this bank is on the right track. And at some point in time, I'm sure that also the investors will see that. If this is then even joined by hopefully, and this is, I think, the most important we should all look at that this awful war comes to an end at some point in time, I think that also Europe will be seen differently. And then latest then, we will also have relief from that side. With your medal item, actually, I will bring that message to Berlin.
Kian Abouhossein: By train -- take it, I hope.
Operator: The next question is from the line of Amit Goel from Barclays.
Amit Goel: I've got two questions, kind of largely follow-ups. One, just on -- I'm just trying to gauge the size of potential share buybacks in the second half. If I use the math that you were talking about, you kind of suggested, I guess, off of a 13.6% to 13.2% CET1 ratio, 40 bps, so EUR 1.4 billion for buybacks, growth and other things. But then obviously, the last buyback was about EUR 300 million. So I'm just trying to get a sense of are you thinking of -- or have you asked the numbers in the kind of EUR 750 million to EUR 1 billion range? Or is it kind of closer to what was previously done?  And then the second question, just a follow-up on the LCR ratio. I guess in the end, I suppose I'm just wondering, are you going to continue to target 130% and trend down towards that level? And -- or are you going to look to keep the LCR similar to where it is today? And do you have a benefit in your plan on revenues for bringing that LCR down to 130%?
James von Moltke: Thanks, Amit. Look, your math is right. So the 40 basis points would represent something a little shy of EUR 1.5 billion, so use EUR 1.5 billion. As Christian indicated, we look at last year's buyback at EUR 300 million. And given the progress we've made -- and by the way, I don't want to be committed to a specific number, a specific timing, and it's too early, obviously, and we need to go through this with the supervisors in presenting a new capital plan. But a step forward on last year's number would be consistent with the guidance or the capital planning that we shared with you back in March of last year.  And as Christian mentioned to maybe give you a sense of ranging then, a 50% increase in dividend if that was mirrored also with the -- an increase of the buyback of a similar amount, it would give you a sense of a range of what we think it might be sought by us.  I will say that given the starting point of the 40 basis points, that's why we think it's -- this type of ask would be affordable. There' uncertainties in the environment. You would expect us to remain prudent. But as we say, with the buffers we have, we think we have space for something like that.  In LCR, we were very conscious as we went through Q1 that we had a high print at the end of December. That was frankly an accident. The average last quarter and the average this quarter are both almost exactly where you'd want it to be in this low 130% range. If we're targeting 130% then you'd expect us to be a little bit higher than 130%. I would -- I think for this quarter, we'd probably target a gentle decline. We are mindful that the risks in the outlook haven't entirely abated. But I wouldn't want you to be surprised if the number started with 130% next -- when we're talking with each other again in July.  As to the cost of that buffer, obviously, it does play a role, but it is very dynamic. So I wouldn't tie a specific revenue better or worse number to a ratio better or worse view. I hope that helps.
Operator: The next question came from the line of Jeremy Sigee from BNP Paribas Exane.
Jeremy Sigee: I'll try to be quick. It's a couple of follow-ups on capital management. The first is on balance sheet, which often has grown seasonally in Q1. And with full year results, you said that again, you expected it to this year, but it hasn't. It shrunk slightly in Q1. And I just wondered how much of that was deliberate -- sort of deliberately steering the balance sheet smaller in a choppy environment versus kind of lack of opportunity to deploy? So that's my first question.  And then my second question really just on the capital surpluses, uses, et cetera. Is 13% CET1, or 13.2%, is that still the right reference level in a world where the market is nervous, not just the market, but the world more broadly is nervous around banks? And there's things like Basel IV to be funded, some banks are prefunding that, et cetera. So is 13% still the right reference level to be talking about for capital?
James von Moltke: Yes. Jeremy, look, I'll go in reverse order. Remember that in our capital plan, we will be building to Basel III final framework and in this plan, because of the model adjustments, higher LED floors and various items, that 13.2% has been getting steadily more conservative in how we're capitalizing our risks. So we do think it is appropriate to continue to target that level.  As you say, there will be a bubble in '24 that sort of goes away on 1st of January '25, all things equal that we need to build into our planning. But we feel comfortable with the buffer at 200 basis points above MDA. As I say, it's getting more conservative steadily.  On capital management and the deliberate nature, to be fair, it actually wasn't deliberate. Are we looking at risk appetite carefully and extensions of balance sheet in this environment, of course. But actually, the usual seasonality was a little bit less than we might otherwise have expected both on leverage exposure and RWA. And we do think loan growth is probably a little slower in the coming quarters than we might have expected given credit conditions, the possibility of recession, all the features in the environment today.
Operator: Next question is from the line of Piers Brown from HSBC.
Piers Brown: Just a follow-up on funding, if I may. It's probably actually more a question for the fixed income call, but I'll ask it anyway. So you've given some very good transparency around deposit flows, pre and post the events in March. I wonder if you can just give any comment on what you're seeing in the wholesale funding markets? I think you were saying around the March events time that you had about 50% of the funding plan for this year done. Most of that was coming into senior nonpreferred and covered bonds. But have you been able to access the markets post those events? And are spreads getting to -- back to some sort of acceptable levels? And then if you've got any thoughts just on longer-term issues around AT1 and the viability of that market, that would be very helpful as well.
James von Moltke: Yes. Piers, happy to take it. Richard's with me in the room here, and we look forward to talking with our fixed income investors tomorrow, but nice to have fixed income topics on the equity call.  Look, we were -- we came into the year, as we mentioned, cautious about the environment. When we saw the market opening in the first few weeks of the year, we decided to move quickly, much quicker than our original funding plan might have suggested. And so we were pleased to have done all that, not just senior nonpreferred, by the way, but we did covered it, and we did a Tier 2 issue before the end of February. And we've done an AT1 deal late last year, which might look like expensive capital, but it gave us real comfort traveling into an uncertain '23 that we were making the right decisions for the bank.  We haven't really gone to the market since the turbulence started in any meaningful way. I think we may have done a covered bond in the interim. But the reason is not because we don't have access to it, but we don't like the price. And prefunding, therefore, was, I think, economically sensible and has actually given us, to the earlier question, from Chris, I think, has given us a slightly better funding profile than for this year and going into '24 than we might have other expected. Sorry, it was Adam's question, on the path of net interest income.  On AT1, we think the market healed more quickly than we might have expected after that Sunday. Look, the instrument sort of -- the instrument had challenges at inception as the market was being created. And I think it has now established a good convention with good investor understanding of what the various triggers and what have you are in it. And I think it will survive in this for. It's conceivably will be a little bit more expensive for banks to issue AT1 securities. But -- and I think it's worth a look at that, but our sense is that it will continue to be a viable instrument going forward.  For us, again, given we were conservative around our issuance -- we don't have a call date until 2025. And as I say, we're in a good place on our funding plan for this year. So we feel, overall, very constructive about where we see. As we stand, our hope and expectation is spreads will narrow again in the coming months.
Operator: The next question is from the line of Jon Peace from Credit Suisse.
Karl Peace: Just in the interest of time, maybe Christian, I could ask you a high-level question. What would be your view of how regulators respond to the liquidity concerns of March? And would you see a risk of higher for longer deposit guarantee fund contributions?
Christian Sewing: Look, always hard to mention and think about what the potential reaction could be. But I think, first of all, in particular, the European regulators should also think back and look back at the March events and came that a lot of things they have done, we have done, have been right because the European banking system showed stability, resilience and I think credit to the regulators for that, what they have done. And if I think this is, for me, the #1 lesson learned.  And if you start from that, I think there is no reason to kind of now come up with whatever it's called, you call it, knee-jerk reaction to think about further rules. And to be very honest, I think the discussions we have also after these events are done in a very constructive way that everybody looks at potential loopholes still or weaknesses that is clear, and I think this should be done like we do it if there -- if something is happening on our side. But I can tell you that these discussions are really constructive, and I think the regulators, in particular, in Europe, should look back and saying, very stable system.  In this regard, I also do hope that from an SRF point of view, from a deposit scheme and from the single resolution fund that we don't see a different direction. And to be honest, I'm not hearing this. And again, one should also not only think about the single resolution fund, but also that we have national schemes, which worked in the past. And hence, I think, again, I see regulators, politicians being actually very calm, being very constructive. And I hope that is the case going forward. And hence, I'm calm on this.
Operator: The next question is from the line of Andrew Coombs from Citi.
Andrew Coombs: One, if I could just come back to the LCR, but just very simple numbered questions. Related to TLTRO, you've obviously prepaid down. Can you tell us how much you've paid back? What are your outstanding balance is? And what the LCR would be on a pro forma basis ex the TLTRO? That's the first question.  Second question is on strength in the Corporate Ban. In particular, when you look at the strength of CTS and ICS, if you could break down how much of that is purely driven by rates versus how much is momentum on volumes and other initiatives that you're taking? I would love your thoughts there given the strength in that division this quarter.
James von Moltke: Andrew, on the LCR, I think maybe we'll come back tomorrow in the fixed income call. I think by memory, we paid down seven of the TLTRO. And that -- and what happens is TLTRO rolls into the LCR window over time. So it is still there. There's a nuance in it, which has to do with what collateral is posted in the TLTRO program versus unencumbered. So it is a support to the ratio. But one that we're -- we have a funding plan to wean ourselves off of over time. And it actually does give us some flexibility in how we manage collateral across the bank. . In CB, in round numbers, we were sort of flattish on fees and commission, a little bit up. Volumes were -- depending on whether you're looking year-on-year or quarter-on-quarter, flat to up slightly. So what you get is right now a significant impact of rates and within rates, the lag. Obviously, what we'd like to see is growth in both volumes and transactions, if you like, fee and commission, increasing as the lag effect begins to sort of run off.
Andrew Coombs: And presumably, the guidance you gave in Q4 for the group where you talked about more significant deposit migration flowing through in 2024 versus 2023 would be very much the same for the Corporate Bank. So to some extent, you're expecting revenues to peak out this year and then stabilize.
James von Moltke: Yes. Although that's -- I think that's fair. The -- again, what we'll -- what remains to be seen is how the fee commission volume effect sort of offsets the runoff of the lag benefit and over what period of time. As I think we talked about in February, there's also a hedging benefit in time as certain hedges roll off, there is a step-up later in '24 from particularly dollar hedges rolling off. So there's still some sort of juice in the rate environment for CB as well. .
Operator: The next question is from the line of Vishal Shah from Morgan Stanley.
Vishal Shah: I just have a few quick questions. One, can I go back to the CRE exposures. In your previous presentations, I also noted you have this additional EUR 15 billion in real estate exposure, which is recourse lending. Could you provide some clarity on the nature of that remaining portfolio.  Secondly, on the LTVs. Could you clarify these LTVs that you provided in the presentation are as of origination? Or are they your assumptions in terms of what they should look like now?  And then lastly on the deposits. Could you talk a bit about how the beta has been evolving between retail and corporates, a bit of color on the mix shift and also how is Deutsche Bank reacting to competition in terms of repricing?
James von Moltke: Sure. Happy to Vishal to answer the questions. So there's a lot in that sort of recourse lending portfolio. So there can be, for example, senior revolvers to real estate investment trusts. There can be sort of working capital. Sometimes construction lending to corporates that are recourse in nature, but where you have lean on property. There's a bunch of things there that -- also, by the way, wealth management, where you'd be lending to wealthy individuals who are investing in either their own businesses or in commercial real estate investments on their part.  So it's -- as a -- in terms of the nature or the riskiness if you like, and the underlying exposure, it is very different to the nonrecourse portfolio. And hence, our own sort of focus versus the rest portfolio distinction. And the losses in that -- in those portfolios have been negligible historically, just negligible.  On the LTVs, what we provide is the most recent. So our practice is to have external valuations no less frequently than once a year. Our internal views are updated no less frequently than every 6 months. So you do get, if not a real time. There is, of course, a little bit of a lag in that, but you get relatively speaking LTVs that adjust over time.  Your beta development question is an interesting one. We look at it both by currency and by portfolio. As you'd expect, the dollar has moved more quickly and I think is catching up with the models more quickly, getting, I would argue, close on the retail side to what we might have expected and closer on corporate. The euro is lagging that in both cases considerably based both on the recency of the rate increases. And I think just the nature and structure of the European deposit funding market. So the euro continues to outperform, again, across both portfolios.  And while that beta also has a little bit of a lag in it, looking at March right now, the turbulence the industry went through, I think it had an impact. But I wouldn't say it was a dramatic impact, at least in our estimation on that beta trajectory.
Operator: Our last question is from the line of Andrew Lim from Societe Generale.
Andrew Lim: Just a few quick fire questions. So firstly, you gave the percentage of deposits that are insured for your German retail deposit base. What does that look like on a group basis when you take into account the larger corporate deposits? And then secondly, for your group NIM, I guess that's 1.6% on an adjusted basis. How does your group -- how should that develop with respect to the hedge gains that you've also had in the coming quarters? And do you have an expectation for that group NIM and how that should develop going forward?  And then lastly, in a post trim world, why is Deutsche Bank having a 40 to 60 basis point hit on the CET1 ratio, largely due to a review of internal modeling?
James von Moltke: So Andrew, thank you for sticking with us. Sorry, the questions are coming so late in the call. The -- let me start with the NIM. I'm always a little bit cautious about predicting NIMs because there are so many moving parts in it. But in round numbers, if you take our guidance from the beginning of the year, which would have led you to kind of the mid-14s, maybe a little better and interest-earning assets of somewhere a little bit below EUR 1 trillion, you'd probably be in the 150 basis point range again, subject for the year, subject to some swings on the characterization that I mentioned. And we do provide, as always, the profitability by segment, including both net interest revenues and fair value through PT -- through profit and loss. So you see the total profitability, if you like, that the balance sheet produces with that.  In terms of the deposit base, the total deposit base, the numbers we gave you, I think, were 33% of the total deposit base under statutory insurance, 41% with -- if you exclude banks from that. I think your question maybe what is the German deposit base in total? Is that right? And that's a number we -- I don't have to hand. I'd have to get back to you on if that was the question you're after.
Andrew Lim: Yes. No, it's a total group deposit base, but I can say...
James von Moltke: Total deposit base is 33% then and 41% if you include -- if you exclude banks from that ratio.
Andrew Lim: Lastly, on the impact due to internal modeling, it's starting quite specific to Deutsche Bank. And I guess it's maybe surprising in the post trim world.
James von Moltke: Yes. I mean the post-TRIM world is really characterized by some of the EBA guidance that came out and the implementation of that. So it particularly relates to LGDs. To a lesser extent, some of the other factors. It's kind of been rolling through the portfolio. So we did see some in retail last year and as we've talked about more next year. So it hasn't been uniquely to either the Investment Bank or the Corporate Bank, but it's gone portfolio by portfolio. . There will be some implementation of new models in the aftermath of our Unity technology implementation. They're just -- there's a dependency there. So there will be some adjustments in the models that are implemented then in Q3 also on the PB side, on the Private Bank side. And my -- I believe that by the end of the year then, we will have been through the reviews that we need to with the ECB and implemented what there is to do. '24 should be a cleaner year and give us the ability to prepare then for Basel III final framework implementation on the 1st of January '25.
Operator: So this concludes our Q&A session, and I hand back to Zike.
Unidentified Company Representative: Thank you very much for your questions. And for any follow-up questions, please reach out to Investor Relations.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect. Thank you very much for joining, and have a pleasant day. Goodbye.